Operator: Thank you for standing by. This is the conference operator. Welcome to the Centerra Gold Second Quarter 2025 Conference Call. [Operator Instructions] I would now like to turn the conference over to Lisa Wilkinson, Vice President of Investor Relations and Corporate Communications with Centerra Gold. Please go ahead.
Lisa Wilkinson: Thank you, operator, and good morning, everyone. Welcome to Centerra Gold's Second Quarter 2025 Results Conference Call. Joining me on the call today are Paul Tomory, President and Chief Executive Officer; David Hendriks, Chief Operating Officer; and Ryan Snyder, Chief Financial Officer. Other members of the management team are available for the Q&A session. Our news published yesterday outlines our second quarter 2025 results and is complemented by our MD&A and financial statements, which are available on SEDAR, EDGAR and our website. All figures are in U.S. dollars unless otherwise noted. Presentation slides accompanying this webcast are available on Centerra's website. Following the prepared remarks, we will open the call for questions. Before we begin, I would like to remind everyone that today's discussion may include forward-looking statements, which are subject to risks that could cause our actual results to differ from those expressed or implied. For more information, please refer to the cautionary statements in our presentation and the risk factors outlined in our annual information form. We will also be referring to certain non-GAAP measures during today's discussion. For a detailed description of these measures, please see our news release and MD&A issued last evening. I will now turn the call over to Paul Tomory.
Paul Botond Stilicho Tomory: Thank you, Lisa, and good morning, everyone. In the second quarter, both Mount Milligan and Oksut contributed to strong earnings, driven by high commodity prices. Gold and copper production in the quarter was over 63,000 ounces and 12.4 million pounds of copper, respectively. The second quarter marked the first full period under the leadership of our new Chief Operating Officer, David Hendriks; and our newly appointed General Manager at Mount Milligan, Eric Dell. Their early impact has been substantial, bringing renewed operational focus and significantly enhancing our confidence in the mine's future performance through the initiation of an infill and grade control drilling program, among other initiatives. We are making solid progress on 2 studies that are expected to support Centerra's long-life copper-gold organic growth strategy in British Columbia, both of which are targeted for delivery in the second half of 2025. At Mount Milligan, work on the PFS is on track to be completed in the third quarter. We are evaluating the substantial mineral resources to unlock additional value beyond the current mine life of 2036, which is based on the available space in the existing tailings storage facility. We are progressing with the engineering solution for additional tailings capacity, and the PFS is set to incorporate an increase of annual mill throughput in the range of 10% through the ball mill motor upgrades, which will be at modest capital cost. At the Kemess Project, we continue to advance work on a PEA based on an open pit and conventional underground mining concept, which is on track for completion by the end of 2025. Kemess has significant infrastructure already in place, requiring only targeted refurbishment to support operations. To complement this existing infrastructure, it is anticipated that new crushing, conveying and mining infrastructure will be developed to further support our operations and longer-term efficiency. We expect the existing infrastructure to lower the execution risk of the project when compared to a typical greenfield project of this scale. Yesterday, we announced that we are advancing on the Goldfield Project, which is located in the historic mining district of Nevada, one of the most reliable mining jurisdictions in the world. This is a strategic milestone that is expected to grow Centerra's near-term gold production profile and can be fully funded from our existing liquidity. Over the last several months, we've undertaken additional technical work and project optimizations that have significantly enhanced Goldfield's value proposition. Favorable gold prices, combined with these recent developments, have improved the project's economics, enabling us to move forward with execution. Our technical study confirms attractive economics of the project, including an after-tax NPV of $245 million and an after-tax IRR of 30% using a long-term gold price of $2,500 per ounce. We have implemented a targeted hedging strategy of 50% of gold production in 2029 and 2030 with a gold price floor of $3,200 per ounce and an average gold price cap of $4,435 in 2029 and $4,705 in 2030 at no cost to Centerra. This gold hedging strategy positions us to lock in strong margins to safeguard project economics and enable predictable cash flow during the ramp-up period while maintaining exposure to rising gold prices for the life of the mine. Just under 80% of the planned production over the life of mine remains unhedged and fully exposed to market gold prices. The project is expected to have a 7-year mine life, average annual production of around 100,000 ounces in peak production years at an all-in sustaining cost of $1,392 per ounce and a competitive initial capital cost of $252 million. The project is well positioned to benefit from a short timeline to first production by the end of 2028 and low execution risk, given its relatively simple process flow sheet. Goldfield is projected to grow our near-term gold production profile, generate robust cash flow and deliver significant value to shareholders. We believe also that Goldfield is ideally positioned in our project development pipeline, bringing additional gold production online, helping to offset the natural declines at Oksut and to ensure continuity as we advance development of the longer-life Mount Milligan and Kemess assets in British Columbia. I'd like to share an update on our sustainability initiatives. In June, we published our 2024 sustainability report. We achieved several important milestones this past year, and we remain committed to meet the rising expectations through greater transparency and alignment with the recognized sustainability frameworks and standards. With respect to some of the progress we've made at Oksut, we achieved full compliance with the International Cyanide Management Code, reinforcing our commitment to safe and environmentally responsible mining practices. We advanced our climate change strategy, focusing on economically feasible decarbonization initiatives at the site level, refining our climate risk scenario analysis and continuing to enhance our disclosures. As part of that broader effort, Oksut earned an ISO 5001 certification for energy management, helping us improve the energy efficiency at site. We also strengthened our partnerships with indigenous-owned businesses and reached 19% indigenous employee representation across our British Columbia operations. In terms of local economic impact, our local procurement spending rose by 26% year-over-year across all operating jurisdictions, reaching $134 million. And lastly, we are pleased to share that we have surpassed our 2026 gender diversity goal for the second year in a row, with women representing 38% of our Board and 33% of our executive officers. Together, these achievements reinforce our belief that strong sustainability performance is a key driver of long-term value for all of our stakeholders. And with that, I'll pass the call over to David to walk through our operational performance for the quarter.
David Hendriks: Thanks, Paul. Slide 8 shows operating highlights at Mount Milligan for the second quarter. Mount Milligan produced over 35,000 ounces of gold and 12.4 million pounds of copper in the quarter. In the first half of the year, mining operations encountered zones with more challenging mineralization, resulting in lower-than-anticipated gold grades from these areas of the pit. While gold grades remain above the average grade of the reserve, we believe the variability is primarily attributed to certain zones being drilled with wider spacing. We have commenced an infill and grade control drilling program in the second quarter. This initiative is designed to improve geological confidence and will be integrated into the upcoming Mount Milligan PFS, contributing to a mine plan with greater visibility on grades moving forward. Also, as we continue to improve our understanding of the ore body at Mount Milligan and advance our broader site optimization program, we are enhancing our mine-to-mill integration to achieve better control of grades delivered to the mill. We have updated our 2025 gold production guidance at Mount Milligan to between 145,000 and 165,000 ounces to recalibrate for the adjustment in grades. We have reaffirmed our 2025 copper production guidance of 50 million to 60 million pounds. Both gold and copper production and sales are expected to be weighted towards the second half of the year. In the second quarter, all-in sustaining costs on a byproduct basis were $1,286 per ounce, 10% higher than last quarter due to an increase in sustaining CapEx and lower ounces sold in the quarter. We have revised our 2025 cost guidance ranges at Mount Milligan to reflect updated production guidance figures. All-in sustaining costs on a byproduct basis are now expected to be between $1,350 and $1,450 per ounce. On Slide 9, we show operating highlights at Oksut for the quarter. Second quarter production was over 28,250 ounces, better than planned due to higher grades resulting from mine sequencing. We have reaffirmed our 2025 production guidance at Oksut with production expected to be higher in the second half of the year as we access higher grade areas of the mine. In the second quarter, all-in sustaining costs on a byproduct basis were $1,755 per ounce, which is higher compared to last quarter, driven by a higher royalty expense per ounce due to elevated gold prices. We have revised our full-year cost guidance ranges at Oksut to reflect both higher royalty costs stemming from the strong gold price environment and an updated royalty structure that was approved by the Turkish government this July. 2025 all-in sustaining costs on a byproduct basis are now expected to be $1,675 to $1,775 per ounce. The restart of Thompson Creek is advancing, with approximately 20% of the total capital investment complete. In the second quarter, we invested $27 million in nonsustaining capital expenditures, bringing total investment spend since the September restart decision to $82 million. We have reaffirmed our 2025 guidance for nonsustaining CapEx at Thompson Creek. The project remains in line with the total initial capital estimate of $397 million, as outlined in the feasibility study, and is on track for first production in the second half of 2027. I'll now pass it to Ryan to walk through our financial highlights for the quarter.
Ryan Snyder: Thanks, David. Slide 11 details our second quarter financial results. Adjusted net earnings in the second quarter were $53 million or $0.26 per share, which benefited from strong metal prices. Key adjustments to net earnings include $15 million of unrealized gain on the remeasurement of the sale of the Greenstone partnership in 2021 and $12 million of unrealized loss on the financial asset related to the additional agreement with Royal Gold, among other things. In the second quarter, sales were over 61,000 ounces of gold and 12 million pounds of copper. The average realized price was $2,793 per ounce of gold and $3.62 per pound of copper, which incorporates the existing streaming arrangements at [ Mount Milligan ]. At the molybdenum business unit, approximately 3.1 million pounds of molybdenum was sold in the second quarter at the, Langeloth facility at an average realized price of $21.43 per pound. Consolidated all-in sustaining costs on a by-product basis in the second quarter were $1,652 per ounce. We have updated our 2025 all-in sustaining cost guidance, following lower expected production at Mount Milligan and higher royalty costs at Oksut, driven by elevated gold prices and the newly updated royalty structure. We now expect consolidated all-in sustaining costs on a byproduct basis to be between $1,650 and $1,750 per ounce in 2025. Slide 12 shows our financial highlights for the quarter. In the second quarter, we increased cash flow from operations before working capital and income taxes paid by 22% over last quarter, generating a total of $98 million. After routine statutory tax and royalty payments to the Turkish government, cash flow from operations on a consolidated basis for the quarter was $25 million, and we had a free cash flow deficit of $25 million for the quarter. In the second quarter, Mount Milligan generated $57 million in cash from operations and $43 million in free cash flow. Oksut's cash flow in the quarter was impacted by the tax and royalty payments of $84 million made to the Turkish government. As a result, Oksut's cash used by operations was $18 million in the second quarter and free cash flow deficit was $28 million. We expect to generate strong free cash flow at Oksut in the second half of 2025. The molybdenum business unit used $1 million of cash in operations and had a free cash flow deficit of $27 million this quarter, mainly related to spending on the Thompson Creek restart. Returning capital to shareholders remains a key pillar in our disciplined approach to capital allocation. In the second quarter, we increased our share buybacks by 80% compared to the previous quarter, repurchasing 3.9 million shares for total consideration of $27 million. Our Board has approved the repurchase of up to $75 million of Centerra shares through the NCIB in 2025, and we have repurchased 42 million in the first half of the year. We also declared a quarterly dividend of $0.07 per share. In the first 6 months of 2025, we have returned $63 million to shareholders through dividends and buybacks. As part of our commitment to returning capital to our shareholders, we expect to remain active on the share buybacks subject to market conditions. At the end of the second quarter, our cash balance was $522 million. This results in total liquidity of over $920 million, while positioning us to fully fund our organic growth projects at Goldfield, Mount Milligan, Kemess and Thompson Creek while continuing to return capital to shareholders. I'll pass it back to Paul for some closing remarks.
Paul Botond Stilicho Tomory: Thanks, Ryan. We're very proud of the progress we've made in advancing our internal growth strategy. The decision to move forward with the Goldfield project is a key milestone that is expected to enhance our near-term gold production profile and to create value for our shareholders. In parallel, we're actively advancing studies at both Mount Milligan and Kemess, which are on track to be completed in the second half of the year. The 2 studies represent significant milestones in advancing our gold growth development pipeline and are focused on unlocking additional value from our assets in British Columbia. Our internal growth strategy is underpinned by a strong balance sheet and disciplined capital allocation. All of our projects, Goldfield, Mount Milligan, Kemess, Thompson Creek; are expected to be self-funded from our existing liquidity, reflecting our commitment to generating value while maintaining financial strength and flexibility. And with that, operator, I'll open the call to questions.
Operator: [Operator Instructions] And today's first question is from Don DeMarco with National Bank.
Don DeMarco: Congratulations on continuing to progress on your internal growth strategy. First question has to do with Mount Milligan. I see that you encountered some challenging mineralization. Are you seeing good results and improved confidence after implementing the additional infill drilling?
David Hendriks: Don, this is David. What we've done is we've really increased the density of drilling in the area that we've been mining for the last 6 months, and we will continue to mine over the next 18 months. We're very confident with our new guidance number of the drilling results that we have will lead to a much better prediction of what we're doing. And also, those are the same -- that same information is being implemented into the study that's being done to look at the extension of the Mount Milligan mine life.
Don DeMarco: Okay. Great. And then on to Goldfield, so I see the project go forward, and it certainly makes sense to offset Oksut. But at first glance, the reserves of 700,000 ounces are unchanged from the end of last year when the company decided not to proceed. And I think at that time, it was partly because of the size of the reserves. So could you walk through what's new now versus last year? And is it primarily a higher gold price?
Paul Botond Stilicho Tomory: Well, it's a combination of a couple of things, Don. You're right. I mean the reserve that we have now is roughly equivalent to the resource we had on the books at the end of the year. However, we've done a bunch of technical work since the end of the year, principally focused on crushing optimization and getting better recoveries on a portion of the ore. So we just have a better view on achieving higher recoveries. We're up in the 70s now, whereas before we were in the 60s. And of course, gold price is a major factor. We're $600, $700 an ounce higher than we were 6 months ago. And with that collar that we put in place on a portion of the ounces, the economics really light up here. So one way to look at it is the gold price has made up for inventory in some ways to make this project quite attractive on an NPV basis. So the NPV at the $2,400 is in the mid-200s and certainly a lot higher than that at $3,000, 3,200, 3,400. So it's really -- it's principally, I'd say, a gold price phenomenon, but also really good technical work on the dynamics between crushing and recovery versus run of mine, so a combination of all those.
Don DeMarco: Okay. Great. That's helpful. And so I guess in this environment, they say if you've got it, then build it. And looking at your pipeline here, like how do you think about sequencing and financing Goldfield, Mount Milligan, PFS and Kemess? We're looking forward to the PEA coming out. And if I sum up the CapEx on these projects with some assumptions on Kemess, it seems to maybe approach available liquidity.
Paul Botond Stilicho Tomory: So absolutely, one of our key strengths here is that with available liquidity, we can fund all of that, so Thompson Creek, Goldfield, Kemess, Mount Milligan; and still have some gas left in the tank. And that's at 2,500. So at spot, certainly, we remain in very significant go-forward free cash flow generation mode. But no question about it, we can afford all these projects at 2,500, given existing liquidity.
Operator: And our next question comes from Lawson Winder with Bank of America Securities.
Lawson Winder: When thinking about Mount Milligan and your sort of advancing understanding of the grade, when we look to 2026, how could the production profile differ versus the prior available technical report? And can you give us an early indication of directionally what we might be thinking in terms of production there versus 2025?
Paul Botond Stilicho Tomory: Well, Dave can jump in on some of the detail here. But fundamentally, we're -- what we've been dealing with here over the last 18 months is mining through a zone, as Dave said in his prepared remarks, that was not drilled to the same density as the vast majority of the rest of the ore body. And as a result of that, we've had some grade issues. And what Dave described is the implementation of a grade control and infill program, that has certainly increased our understanding and vastly improved our confidence in the grades that we're going to be mining. And as Dave said, that will be incorporated in the PFS. I don't want to get ahead of ourselves on what's going to be in the PFS, but we're about a month away from that. And as we've been signaling, we're going to be adding a significant mine life through the addition of further tailings capacity. But what I can tell you is that Mount Milligan, if you look at it over the last 4, 5 years, that's roughly the average production profile in both gold and copper that one should expect in fact, for the entire mine life. There will be up years here and there as we hit pockets of higher grade, particularly on the gold side. But roughly speaking, what you've seen over the last 5 years is a good representative average of what we might see over the next several. But I stress, there will be -- there are zones in that ore body that are higher-grade gold, and it will cause a few years to be higher. But we'll be putting out a very detailed production plan come September on the entire mine life at Mount Milligan.
Lawson Winder: Yes. I look forward to that. And if you don't mind, like I wouldn't mind just trying to push you a little bit more on what we could expect in the technical study. I understand your reluctance to reveal too much. But I mean, at its core, it's about extending the mine life, but you've mentioned a 10% increase in throughput. In the past, we've talked about potential increases in gold recoveries. Is that something that could be a feature in terms of the near-term mine plan that might complement the long-term extension? And is there anything else that you guys are thinking about in this study in terms of near-term benefits to complement that longer-term life extension?
Paul Botond Stilicho Tomory: So what I can tell you is the principal objectives of the study are, number one, identify tailings capacity. That is why our mine life is currently limited to 2036. And we have done that. We've got an engineered solution for incremental tailings capacity. Second, you pointed out throughput increase. We're targeting 10% through relatively, what I would call, straightforward improvements in the existing circuit. On recovery, we are also looking at whether or not there are modifications we can make in the plant to aid in recovery, and we're positive that there may be something there, certainly over a life of mine basis. And what you're fishing for here is production in '26, '27. I think what we've guided here for this year, as I said, give or take, within a range is representative of what you might expect for the next several years.
Lawson Winder: Okay. That's great. I appreciate the color, every little bit helps. And then just if I could ask one final question on Goldfield. What are sort of -- if we think about the timeline to first production in '28, let's call it, what is the bottleneck? And could you just walk us through sort of the key permits that need to be secured in order to ensure that 2028 first production?
Paul Botond Stilicho Tomory: Yes. So starting with the last part of the question there, most of the permits are in place for Goldfield. As you saw on our plan view, there are a number of deposits there. The bulk of the ounces come from the Gemfield deposit. That is essentially permitted, but we have to make one minor amendment on having upsized that pit versus what was previously permitted. So what I would say is there are some incremental permits to obtain on an expanded Gemfield as well as the other satellite pits. I would call these fairly routine Nevada-type permits. The critical path for the project really goes through the completion of engineering, procurement and then execution. The bulk of the execution will take place in '27 and '28, and we intend to mobilize the mining contractor. So the critical path runs through, what I would call, project activities, engineering, procurement and then execution.
Operator: And the next question is from Raj Ray with BMO Capital Markets.
Raj Udayan Ray: I have three questions, if I may. First, on Mount Milligan. Dave, can you point to how long you expect to be in this current zone that you're mining through that's giving lower-grade reconciliation versus your reserve model? And is it going to go substantially into '26 or not? Secondly, with respect to the Oksut royalty, am I correct in assuming that this is more [ broad ], that the sliding scale is the same, which is basically for every $100 increase in gold price, the royalty increases by 125 basis points? And then I do have a question on Goldfield after that.
David Hendriks: Well, I'll go ahead and talk about the Mount Milligan piece. One thing that's pretty important is we're actually mining above the average grade of the deposit, as we speak right now, over at Mount Milligan. So what had happened was there was an area that was meant to be "a higher-grade plum" that did not work out the way we expected. So that's been -- as I say, the drilling that has been done and is in the middle of being done, which will all be part of the PFS, we're pretty confident that we have a very good handle on what's going to happen for the next few years. I don't want to give you something that's 6 weeks early. I'll wait until the PFS comes out to give you the real numbers and everything else. But as Paul had commented, you can expect our revised guidance number is probably pretty appropriate for the next couple of years.
Ryan Snyder: And then on Oksut, Raj, yes, they've updated the royalty table, just given where gold prices have gone versus what was there before. The old royalty table stopped at $2,100. So at $2,100 gold price, that was the max royalty, which was 18.75% in Turkey. And I think you know we get a 40% reduction in that because we process our material in country. What they've done is expand that table all the way up to 5,100 just to take into account where gold may go. Because of these larger numbers, it's now moving up every $300 adds 125 basis points prior to our reduction. And so yes, we're in a different world now. At the gold price we're in today, it's about a 22.5% royalty and we get the 40% reduction. So the scale has increased in terms of how far up it can go, but it doesn't move with every $100 increment in gold anymore.
Raj Udayan Ray: Okay. That's great, Ryan. And Paul, this is a question more for you. I'm trying to understand the strategic rationale behind going ahead with Goldfield. I mean I understand the 30% after-tax IRR, the NPV, the high gold price, the improvement in recovery. But like if I look at it, if I look at your capital allocation, how does this stack up against dividends and share buybacks over the next 2 to 3 years? Because the way I look at it, the free cash flow that you're going to generate over the next 3 years is pretty much going to be going back into building Goldfield for a project that not of great scale, at least at this point, and then there's a number of other projects you're looking at the same time. So is there a risk you might be stretched from a bench strength point of view? So can you comment on that?
Paul Botond Stilicho Tomory: I think -- yes, I think there's a talent and a financial question in there. Certainly, from a bench strength point of view, we've been building the internal capacity to operate and to build projects. We've significantly expanded our projects team. A number of the team have significant experience with Nevada heap leach projects. So from a talent point of view, we feel confident in our ability to execute on Goldfield. But I think your bigger question here is on returns and liquidity. As you pointed out, it's a high IRR on Goldfield, and that's at the consensus gold price at higher gold prices, it's a much more significant return. But I stress here, our project development pipeline, Kemess, Milligan, Thompson Creek and Goldfield; we can fund that with existing liquidity while continuing our buyback program. This is a really important point I want to stress. We believe our shares remain a very compelling value proposition for our cash. We will continue to buy back, and we believe it is appropriate to add gold exposure into the portfolio through Goldfield as another way to allocate our capital. So we believe that the returns are strong in the buyback, and we also want to be strategically increasing our gold exposure.
Operator: And the next question comes from Luke Bertozzi with CIBC World Markets.
Luke Bertozzi: Most of my questions have been answered at this point. Overall, I think it's a great decision you guys are going out of Goldfield to bridge the production gap after Oksut. Just curious, how does this change your thinking around M&A?
Paul Botond Stilicho Tomory: So we have the makings of what we think is an attractive go-forward production profile. We're still working on some of the components, meaning Milligan mine life extension, where does Kemess look like. But by the end of this year, that picture will come into tighter focus. So we believe we have a strong organic potential suite of assets that will have multi-decades of potential. And that's what we're aiming for on our organic projects. So principally speaking, we don't really need to do substantive M&A. And certainly, with our shares trading where they are, we have zero intention of doing share-based M&A. So to the extent that we would consider M&A, it would be modest. It would be bolt-on and cash-based, something that is a complement to that, which we have internally, as exampled by some of the equity investments we've made or other -- for example, thesis being a proximal asset to Kemess. So we look at things that might be geographically synergistic, synergistic in the sequencing of capital spend and project development. But largely speaking, any M&A we consider, and I'll repeat this, wouldn't endanger our ability to fund our projects organically. We don't intend to go back to the market for cash. And it would be cash-based, modest in scale and something that fits in strategically with our production profile. So we're not going to be doing big share-based M&A.
Operator: [Operator Instructions] And the next question is a follow-up from Lawson Winder with Bank of America Securities.
Lawson Winder: I just -- I wanted to ask again about Mount Milligan, just as you're considering the expanded resource, do you -- with the new resource that you're considering for this -- the PFS coming up in September, do you get to a point where there is parts of the resource that are excluded from the Royal Gold stream? Or if not in this study, is there a path to kind of getting outside of that area of influence?
Paul Botond Stilicho Tomory: No, the Royal Gold, their area -- I mean, there is an area that is not subject to them, but it's so far away that it's not -- we're not -- we're very unlikely to be mining in those areas. But I will remind you that we have the amended streaming agreement with Royal Gold, where in two steps, the terms improved. Our broad vision for Mount Milligan is we -- as you know, we have the 10 -- the 11-year reserve right now, it's 2036. We intend to add, give or take, a decade of production here with this PFS while continuing significant exploration to the Southwest and to the West. We continue to encounter encouraging results, continuity of mineralization, both at depth and near surface. So our perspective or at least our objective is to continue to add inventory beyond the life of the PFS for a potential third decade. Now, work remains to be done there, but the mineralization shows strong continuity, and we're very optimistic about what we might find beyond the scope of the PFS. But the simple answer to your question is everything I've just mentioned will be subject to the Royal Gold stream. Operator And at this time, this concludes the question-and-answer session and today's conference call. You may now disconnect your lines. Thank you for attending and participating in today's call, and have a pleasant day.